Operator: Good day and thank you for standing by. Welcome to the Eastman Kodak Quarter 1 Earnings Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your first speaker today, Anthony Redding. Anthony, you may now begin.
Anthony Redding: Thank you and good afternoon everyone. I am Anthony Redding, Eastman Kodak Company’s Chief Compliance Officer. Welcome to Kodak’s first quarter 2025 earnings call. At 4:15 p.m. this afternoon, Kodak filed its Form 10-Q and issued its release on financial results for the first quarter of 2025. You may access the presentation and webcast for today’s call on our Investor Center at investor.kodak.com. During today’s call, we will be making certain forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. We intend for these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. All forward-looking statements are based upon Kodak’s expectations and various assumptions. Future events or results may differ from those anticipated or those expressed in the forward-looking statements. Important factors that could cause actual events or results to differ materially from these forward-looking statements include, among others, the risks, uncertainties and other factors described in more detail in Kodak’s filings with the U.S. Securities and Exchange Commission from time to time. There may be other factors that may cause Kodak’s actual results to differ materially from the forward-looking statements. All forward-looking statements attributable to Kodak or persons acting on its behalf only apply as of the date of this presentation and are expressly qualified in their entirety by the cautionary statements included or referenced in this presentation. Kodak undertakes no obligation to update or revise forward-looking statements to reflect events or circumstances that arise after the date made or to reflect the occurrence of unanticipated events. In addition, the release just issued and the presentation provided contains certain measures that are deemed non-GAAP measures. Reconciliations to the most directly comparable GAAP measures have been provided with the release within the presentation on our website in our Investor Center at investor.kodak.com. Speakers on today’s call are Jim Continenza, Kodak’s Executive Chairman and Chief Executive Officer; and David Bullwinkle, Kodak’s Chief Financial Officer and Senior Vice President. We will not be holding a formal Q&A during today’s call. As always, the Investor Relations team is available for follow-up. I will now turn the call over to Jim. Thank you, and have a great day.
Jim Continenza: Welcome, everyone, and thank you for joining the first quarter 2025 investor call for Eastman Kodak. We continue to execute our long-term plan despite global economic uncertainty. Kodak also stays committed to being a primarily U.S.-based manufacturer. We have expanded our U.S. operations in pharma. We’ve expanded in battery. We continue to invest in innovation across the board. We focused heavily on operational efficiencies, trying to drive our cost down. We have shed unprofitable businesses, allowing us to focus on growth businesses, and we will continue to focus on our gross profit. And I’m sure this is on a lot of people’s mind, the tariffs. We will continue to work through them. They’re changing and changing environment. We need to take the short-term pain to get the long-term gain. We’ve got a staff of people that are well versed on the tariffs. We will comply with all of them and continue to work to better serve our customers as the administration finalizes the tariffs globally. Our core business continues to perform as expected. Highlights from the first quarter include revenue of $247 million compared with $249 million for the first quarter 2024, roughly flat year-over-year. The rate of decline has slowed, which is in line with expectations. Gross profit percentage of 19% compared with 20% for first quarter 2024 was roughly flat year-over-year. Here are some highlights. Our Advanced Materials and Chemical Group, AM&C, is key to Kodak’s future. Ongoing investments in AM&C growth initiatives include our new CGMP pharma manufacturing facility to be online later this year, expanding our current pharma business into manufacturing FDA-regulated diagnostic test reagents. I am pleased to say demand for various types of film, still motion picture, NDT and others continue to grow. We’ve invested in expanding our capacity in the film facility. Moving on to highlights from our commercial print business. We are moving from controlled introduction to controlled production of our PROSPER ULTRA 520 press. We’ve completed installed sales of several PROSPER ULTRA 520 presses, which are currently being installed in customer sites. We have also seen continuous demand for our U.S.-made lithographic printing plates. We have been committed to manufacturing in the U.S. for over 100 years. A primary example is our investment in the new pharma facility in Eastman Business Park in Rochester, New York. We also manufacture all of our film products and the world’s fastest inkjet presses in the United States. We are the last remaining U.S. manufacturer of lithographic printing plates. As a reminder, our AM&C growth initiatives continue to be U.S.-based. Our commitment to manufacturing in country reduces our environmental impact, gives our customers the highest quality and a more reliable supply. I’d like to give an update also on the U.S. pension plan. The termination and settlement process is proceeding as planned. We expect a significant portion of any reverted asset to be used to reduce long-term debt and therefore, the annual cost of servicing that debt. You can find additional information in our Form 10-Q filing. I will now turn it over to Dave Bullwinkle to discuss the financial results.
David Bullwinkle: Thanks, Jim, and good afternoon. This afternoon, the company filed its Form 10-Q for the quarter ending March 31, 2025, with the SEC. As I always do, I recommend you read this filing in its entirety. Before I get into the details for the quarter, I would like to provide a brief status update on the termination process for the U.S. Kodak Retirement Income Plan or KRIP, and on an amendment to our term loan credit agreement. On January 21, 2025, Kodak’s Board of Directors approved the termination of KRIP effective March 31, 2025. The KRIP termination and settlement process is proceeding as planned with election mailings being sent to participants in the early summer and the purchase of annuities planned for the fourth quarter of 2025. We estimate it will take 7 to 11 more months to receive any pension reversion proceeds from the settlement of KRIP after required debt prepayments. Please be reminded, as previously disclosed, this time frame is subject to factors beyond Kodak’s control, including, but not limited to, the regulatory review and approval of various aspects of the terms of KRIP, KRIP’s activities and the termination and liquidation process. Additionally, the company entered into the second amendment to the amended and restated credit agreement for the term loan that provides the company the option to make the next six quarterly interest payments following the amendment in the form of payments-in-kind or PIK. In addition, term debt prepayment requirements associated with certain transactions have been revised within the amendment. For further details on both of these topics, please refer to the Form 10-Q filed with the SEC today. I will now share details on the full company results, operational EBITDA and cash flow for the first quarter of 2025. In the face of an extremely difficult global environment with economic uncertainties around global trade and inflation, Kodak continued to build on its strong foundation during the first quarter of 2025, delivering results reflecting the continued focus on executing against our priorities and long-term plan, including driving smart revenue, implementing pricing rationalization and cost reductions, launching new products and investing in innovation and information technology systems to increase our operational efficiency. On Slide 7, we reported revenues of $247 million for the first quarter of 2025 compared to $249 million in the prior year quarter or a decline of $2 million or 1%. The decline in revenue has slowed, which reflects our ongoing focus on driving smart revenue and strong profitability. On a constant currency basis, revenue increased by $1 million or essentially flat when compared to the prior year quarter. Gross profit decreased by $3 million or 6% when compared to the prior year quarter. Excluding the unfavorable impact of foreign exchange, gross profit declined by $2 million or 4% when compared to the prior year quarter. Our gross profit percentage was 19% in the first quarter of 2025 compared to 20% in the prior year quarter. On a U.S. GAAP basis, we reported a net loss of $7 million for the first quarter of 2025 compared to net income of $32 million in the prior year quarter, a decrease of $39 million. The 2025 and 2024 first quarter results include expense of $1 million and income of $1 million, respectively, related to non-cash changes in workers’ compensation and employee benefit reserves. The first quarter of 2024 results also include income of $17 million related to a net gain on the sale of assets. Excluding these current and prior year quarter items, net loss for 2025 was $6 million compared to net income of $14 million in the prior year quarter, reflecting a decline of $20 million. Operational EBITDA for the quarter was $2 million compared to $4 million in the prior year quarter for a decline of $2 million. Excluding the impact of non-cash changes in workers’ compensation and employee benefit reserves in both the current and prior year quarters and the impact of foreign exchange in the current year quarter, operational EBITDA improved by $1 million when compared to the prior year quarter. Both gross profit and operational EBITDA for the first quarter of 2025 was unfavorably impacted by higher aluminum and manufacturing costs, partially offset by price increases and volume improvements. Moving on to the company’s cash performance presented on Slide 8. The company ended the first quarter with a cash balance of $158 million, a decrease of $43 million from December 31, 2024. Our use of cash was primarily driven by our continuing investments in AM&C growth initiatives and increased commodity and manufacturing costs. Foreign exchange had a favorable impact on cash of $2 million in the current year quarter. Cash used in operating activities was $38 million for the current year quarter, driven primarily by the use of cash from net earnings of $14 million and the use of cash from balance sheet changes of $24 million, including a change in working capital of $17 million, a decrease in miscellaneous receivables of $3 million and a decrease in other liabilities of $20 million. Within working capital, accounts payable increased by $6 million, inventory increased by $15 million and accounts receivable increased by $8 million. The change in working capital for the prior year period included the receipt of $40 million of cash proceeds from brand licensing. The team continues to focus on improving profitability and performance in working capital, which enhances the company’s ability to generate cash. Cash used in investing activities was $7 million for the current year quarter, primarily comprised of capital expenditures and reflects a $14 million decrease when compared to the prior year quarter. The prior year quarter included proceeds from the sale of assets of $17 million. Cash used in financing activities for the first quarter of 2025 improved by $16 million when compared to the prior year quarter. Prior year quarter included the $17 million prepayment of the amended and restated term loan agreement made from the proceeds received from the sale of assets within investing activities. Restricted cash decreased by $2 million when compared to the balance as of December 31, 2024, primarily driven by strategic efforts to reduce cash collateral and escrow requirements for certain company obligations and business arrangements. As a reminder, restricted cash primarily represents cash collateral supporting the company’s undiscounted actuarial workers’ compensation obligations with the New York State Workers’ Compensation Board and cash collateral required under the letter of credit facility in addition to escrows to secure various ongoing obligations. We continue to focus on opportunities to reduce restrictions on cash. As presented on the bottom portion of the slide, excluding the change in restricted cash and the effects of foreign exchange, the company recognized a $55 million decrease in cash and cash equivalents in the first quarter of 2025 compared to the prior year period. We will continue to focus on maintaining the strength of the foundation we have worked hard to create, which provides us the opportunity to fund our ongoing operations, invest in our growth initiatives and convert our historical investments into returns for the long term. Finally, as disclosed in our Form 10-Q, we remain in compliance with all applicable financial covenants. I will now turn the discussion back to Jim. Thank you.
Jim Continenza: Thank you, Dave. In summary, as a long-time manufacturer for over 100 years, Kodak remains committed to maintaining and expanding our manufacturing in the U.S. across all of our businesses. I am pleased to say our AM&C business continues to deliver profitable growth and return on our investments. Accessing the excess pension fund asset will help pay down debt and reduce interest costs, allowing Kodak to continue to invest in profitable growth businesses. I’d like to thank our employees for their hard work, our customers for their loyalty and our shareholders for their support. Have a good evening.
Operator: Thank you for your participation in today’s conference. This does conclude the program. You may now disconnect.